Operator: Good day, ladies and gentlemen, and welcome to the ASUR Fourth Quarter 2014 Results Conference Call. My name is Katherine, and I'll be your operator. [Operator Instructions] As a reminder, today's call is being recorded. 
 For opening remarks and introductions, I'd like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please go ahead, sir. 
Adolfo Castro Rivas: Thank you, Katherine, and good morning, everybody. Thank you for joining us today for the conference call to discuss our fourth quarter 2014 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company's control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. 
 I will begin today by providing a brief update on San Juan Puerto Rico International Airport, followed by an overview of the results for the quarter. 
 Passenger traffic at San Juan Airport rose 2.4% year-on-year to MXN 2 million in the quarter, reaching a total of 8.6 million passengers in 2014. Aerostar contributed with a MXN 17.3 million loss for ASUR's 50% ownership stake compared to a MXN 45.5 million loss in fourth quarter 2013. During the quarter, we also reported MXN 144.7 million gain in stockholders' equity resulted from the valuation of investment made on this company divided by the appreciation of the dollar versus the peso during the period. Full year results also reflect a MXN 36.5 million equity gain from ASUR's equity participation in Aerostar, and MXN 183.6 million gain in stockholders' equity from the appreciation of the dollar versus the peso during the year. 
 We also made significant progress this year with remodeling the facilities at San Juan Airport. On November 20, 2014, we inaugurated Terminal B according to plan. We remodeled a 150,000 square-foot terminal and added a new passenger inspection center, an automated baggage-handling system and 10 new aircraft boarding bridges. The commercial offering was also upgraded, and today this terminal comes with 7 new food and drink concessions, another 7 retail stores and bank branch. The terminal will eventually house United Airlines, Southwest Airlines, Delta and Spirit. Minor improvements were also made this year to Terminal A. We should begin remodeling Terminal C in March 2015, which is planned to be finalized 1 year after. This entails closing the terminal and undertaking a complete refurbishing of the space. We plan to redesign the traffic flow, bringing new operators and renew the commercial offering for these terminals. 
 Now moving on ASUR's Mexican operations, passenger traffic remained strong during the quarter, up 14.1% year-on-year to 5.8 million passengers, the highest for the fourth quarter. Both domestic and international traffic posted record levels for the fourth quarter. Domestic traffic showed a good performance across all the airports, principally driven by competitive domestic airfares, with Cancun in particular posting a 13.1% increase. Passenger traffic between Mexico, Canada and the United States represented 86.8% of total traffic, compared with 86.5% a year ago. 
 Looking at the P&L. Total revenues, excluding the 16.1% increase in construction services, rose 13.5% from fourth quarter despite the 3.4% reduction in aeronautical targets early this year. Commercial revenues per passenger were up 1.2% year-on-year to MXN 76.3, the highest for fourth quarter. The investment, MXN 836 million during the quarter, as we moved ahead in the meeting the commitments for the year under our Master Development Plan, an important part of these was in the expansion of Terminal 3, our most important project to date. The expansion is expected to be ready by the end of this year and should increase capacity by 4 million to 10 million passengers. During the quarter, we also completed the first phase of expansion work at Veracruz airport, which increased capacity at this facility by 150%. We also continued to make progress with Terminal 4 at Cancun Airport. We are now focused on the executive design with construction anticipated to begin in the second half of this year and conclude by the end of the year 2017. 
 Total CapEx for the year was MXN 1.3 [ph]  Billion, in line with our committed investments under the Master Development Plan. Operating costs and expenses for the quarter, excluding the 16.1% increase in construction costs, was up 3.6%, substantially below our revenue growth. EBITDA was up by 19.5% year-on-year to MXN 910.5 million, with EBITDA margin adjusted by excluding construction revenue offsetting 7.9% compared with a 64.5 in fourth quarter 2013. 
 Results this quarter were also affected by a noncash foreign exchange loss of MXN 126.96 million, resulting from the impact of a 9.74% devaluation of the peso on our foreign currency net liability position. This compares to a MXN 13.5 million foreign exchange rate -- exchange gain in fourth quarter 2013. 
 Finally, our balance sheet remains solid, with cash and cash equivalents of MXN 2.9 billion and bank debt of MXN 3.2 billion at year-end. 
 Before moving on to the Q&A, let me mention that as anticipated, we didn't present an offer for the Santiago, Chile airport.  
 Now let me open the floor for questions. Katherine, please go ahead. 
Operator: [Operator Instructions] And our first question comes from Santiago Perez Teuffer with Crédit Suisse. 
Santiago Perez Teuffer: I have 2 questions, if I may. The first one, could you comment on the traffic trends that you expect for 2015, and also a little bit on the opening of Terminal 3? And then if you could share some numbers on Puerto Rico. If you could share how did sales, EBITDA and net income, excluding the effect -- how did they perform? 
Adolfo Castro Rivas: Santiago, thank you for your comments. Traffic trends. Well, you have seen the numbers for the month of January, an increase of 12.2%. Remember that January is a very important month for us. First quarter is always higher than in comparison with the second one, and the second one higher than the third one, and the third one higher than the fourth one. So the first one, it's really important. What we are seeing today is a very strong traffic growth basically coming from international parts, supported basically, in my opinion, by the peso devaluation against the dollar. So the U.S. traffic, it's particularly strong right now. On the domestic front, you have seen also a very strong traffic. This, in my opinion, is resulting from the additional capacity that the Mexican airlines are adding to the system that, of course, is producing a reduction in the air traffic fares. So this is basically improving the demand. So we're seeing a very good beginning of the year 2015. I don't know, of course, if this is sustainable again at these levels. I believe that the levels we're seeing today are extremely high, and the comparison numbers going forward in the year are going to be tougher. So I don't believe that the numbers that we are seeing for the first month of the year will remain during the entire year.  Your second question was the opening of terminal 3. It's expansion of terminal 3. This expansion must be concluded by the year end and say, to be ready in the second half of the month of December this year. And your third question was numbers of San Juan. The numbers that I can share with you are the ones that are in the report. I will recommend you to see once the 20th report is filed. I believe, as we did last year, we'll be publishing condensed financial statements of this company, and then you will be able to see the numbers of San Juan. 
Santiago Perez Teuffer: Okay. Just one last one. Do you have any tax rate expectation for 2015? 
Adolfo Castro Rivas: Well, we should not expect any tax changes during 2015. The authorities have said that they will not modify the law. So I would say the rate that you can see in the P&L should be between something -- between 28% to 30%. 
Operator: We'll continue on to Bernardo Velez with GBM. 
Bernardo Velez Diego Fernandez: I was wondering if you could comment a bit on how your aeronautical revenue should behave. And coming from this terminal 3 opening in mid-December, how do you -- or could you give us a number on how much or how many commercial spaces are you hoping to open? Or any figure in that matter? 
Adolfo Castro Rivas: Okay. Let me talk about non-commercial revenues. I would say commercial, non-aeronautical, it's basically commercial revenues. As I have said many quarters ago, we do not expect a major improvement on the commercial revenue per passenger. If you see the results of last year, it was just a 1.2% increase, so very small in comparison of how it was in the past. And this is because of the constraints in the capacity of Cancun terminals. And that is the reason why we're expanding Terminal 3 and beginning the construction of Terminal 4. If the opening of Terminal 3 would have an impact on commercial revenues per passenger this year, in my opinion, the answer is no, because as I said before, the opening of these new spaces are going to be at the end of the year. So the impact, in that case, will be seen as from the year 2016. And what I believe is that the expansion of Terminal 3 will give additional space to -- or to mitigate the effects that we are having today in Terminal 2 in terms of passenger congestion. So that will alleviate Terminal 2, and I hope that with better service and better space, we will see some kind of effect during next year in commercial revenue per passenger. 
Bernardo Velez Diego Fernandez: Okay, perfect. And also, Adolfo, could you comment on Cancun's connectivity with Cuba? And meaning, how could we expect passenger traffic to behave, or what will be the impact of these new opening with relationships between Cuba and the U.S.? 
Adolfo Castro Rivas: Well, if you go back 15 years ago when we made the IPO process, that was September 28, 2000, you can see in the prospectus that Cuba was one of the largest threats that we were seeing as a competitor for Cancun. 15 years after, I would say that the threat is still there. I believe in the future, Cuba will be a competitor for Cancun. But of course, a lot of things would have to happen before this occurs. And I don't believe that this will happen in the short term. So yes, it's a threat, but it's a long-term threat, in my opinion -- very far away from now. 
Operator: Our next question comes from Stephen Trent with Citi. 
Stephen Trent: Just 2 or 3 quick ones for me. The first is, I didn't hear you so well in your closing comments. You mentioned something about an offer for an airport, and I wasn't sure if you were talking about the one in Santiago, Chile? 
Adolfo Castro Rivas: Yes, basically, what I said is that we didn't present an offer for Santiago, Chile airport. 
Stephen Trent: Okay, perfect. I didn't hear you so well. And in terms of other foreign airports, or at least foreign airport potential, are there possibilities that ASUR directly or ASUR/Highstar might be considering other opportunities in the region? You maybe took a look at Chile and passed, you've got San Juan going. Just curious. 
Adolfo Castro Rivas: Well, at the moment, I don't have any. 
Stephen Trent: Okay. Great, great, great. And then in terms of Terminal 4 in Cancun that I think you said is going to be ready by the end of 2017, any ballpark idea what the capacity increase would be there? 
Adolfo Castro Rivas: Well, I believe, for the moment -- and as I said before, we are in the final design process, but I believe it's going to be around 7 million additional capacity. 
Stephen Trent: Okay. Great, great, great. And just one last question. I'll let somebody else ask. In the quarter itself, you mentioned on the commercial revenue increase that the -- I guess, the retail area and one other component of commercial revs per passenger went down, but then other commercial areas picked up the slack. And in terms of the trend going forward, I'm wondering if these other commercial areas, maybe some hotels you guys might plan, if you're maybe planning for more growth outside of -- on a per passenger basis, outside of your retail areas? 
Adolfo Castro Rivas: Okay. In the case of the hotel that you are mentioning, we have been thinking that these airports and the size of Cancun Airport, should have a hotel service. I believe you are based in New York, so you know what I'm talking about. So from time to time, there's people that needs to take a plane from Cancun to New York, and there's problems with the winter season there. So we need a place to stay. So this is a kind of service that we believe we should be adding to the airport facilities. Because of this, we have requested an approval that these hotels can be constructed within the facilities of the airport. The approval has been granted during the fourth quarter last year. And today, we're in the process of finding a place and the correct design for these facilities. It is important to say that we are not going to construct, not to operate these hotels. What we are looking for is someone else to provide these kind of service inside the facility of Cancun Airport. And we will be basically leasing the land space for them. So that is what we believe in the case of hotel. And I don't see any other development around the -- outside the terminal buildings. 
Operator: Our next question comes from Ravi Jain with HSBC Capital. 
Ravi Jain: So I had a quick question on the dividend and the leverage strategy of ASUR. So for this year, as the CapEx needs are pretty high, do you expect to maintain the same level of dividends that we have seen in the past couple of years? And on the leverage front, in absence of any growth opportunities, how do you see ASUR's leverage 3 to 5 years from today? 
Adolfo Castro Rivas: Okay, Ravi. Well, in the case of the cash position we have today, as I said during the remarks, it's MXN 2.9 million. And what we have to invest for this year, let me round this number to MXN 3 billion. Okay? So we have, more or less, the same amount. Once the results are over and once we can see what has happened year 2014, we can then try to decide what are we going to propose in terms of dividends to the Board of Directors, and then to the shareholders assembly. And that is something that we will be doing during the month of February. So as I have been saying in the past, what we normally do is see the results, see what is the tax situation, see what we have in cash in hand, and see what kind of projects do we have in front. What I believe is that we will be making this proposal during this month of February and then to expect what the Boards of Directors says. So what is clear to me is that we cannot be bold if we do not take some leverage. In terms of leverage levels, it's hard to say or to put a number, an exact number for that. Companies like these can be leveraged with 3x to 4x EBITDA. Of course, that will depend on the quality of the project they handle. 3 to 4 years, 5 years, I will be glad to see a lot of projects into this company, and as we have said before, the strategy we have is to grow with leverage. So that is why we are looking for new opportunities and then to do the same as we did in San Juan, to basically invest there with getting the result -- getting the results as drawn [ph] from a loan. Okay? 
Operator: Our next question comes from Nada Silberger [ph] with Goldman Sachs. 
Unknown Analyst: Most of my questions here, they were already answered. So I was just wondering if you could comment a little bit for short-term dynamics on new route openings from the Mexican airlines in your airports. 
Adolfo Castro Rivas: Well, short-term dynamics in routes, normally I don't talk about routes, because in the case of Cancun, we have close to 200,000. And I would be driving you crazy if we talk about the new routes we got during the quarter and the new airlines that are coming. So the only thing that I can say to you in that front is that, if we talk about regions, one of the regions that is weak and that is resulted from the exchange rate loss, that is Russia. So today, we have, of course, less Russians than in comparison of what we had last year. And I believe that, that is going to be something that probably we will be losing during the remainder of the year. On the other front, in the case of Mexico, in the case of the domestic traffic, what we are seeing is that the airlines have decided to start more routes point-to-point and not passing through Mexico City airport because of the situation there. And then because of this, what I believe is that we're going to be having new points of entrance to the region, basically to Cancun from the north of the country, as we have seen in the third and fourth quarter. Apart from that, we opened a new direct flight at the end of last year, it was in December. It was a Sao Paulo, Cancun Airport. This is just once a week, so it's small in terms of the amount of passengers this new route will bring. But of course, this is a new opportunity that we didn't have in the past. It was probably 10 to 12 years without a direct connection from Brazil to Cancun. That's a new opportunity. Something else, probably we will have new flights into the regional airports from other places, basically South America, and we are working on that. That's what I can share with you. 
Unknown Analyst: I was just wondering if Marcio [ph] who's here on the line, could also jump in and ask another question. 
Unknown Analyst: Just a quick question regarding the Cancun capacity. You've mentioned that the current growth base has been really strong, and you expect some deceleration over the year. Just would like you to comment like if we continue having the same sort of double-digit growth, if we could have some difficulty in terms of capacity in Cancun, just if you could just evolve on that, please? 
Adolfo Castro Rivas: Well, the capacity of the airport is not reducing the amount of passengers this airport can handle for the moment. The reduction in capacity that I have been mentioning is basically the reduction in level of service is not yet, today, let me put it that way, enough to stop the growth in the region. The region has been growing really fast and really nice. And we have been able to handle these additional demands. Let me give you one clear example of this. At the end of the year 2013, we had to open, and we opened Terminal 1 for that situation that will give us additional space. So today, yes, there's some capacity constraint, but this capacity constraint has to be seen as a level service. It's not in terms of forecast. So you should not be saying that we will not be having more passengers because of the capacity of the airport. That is not the case. 
Operator: [Operator Instructions] We'll go to Jean Bruny with BBVA. 
Jean Bruny: Adolfo, just one question left. It's regarding the AICM airport. We've seen last year about 34.5 million passenger using the Mexico City airport. It's clearly saturated. It managed to improve another 8% to 9% last year. Do you think it will be manageable still to work with an airport of that size which is saturated? Do you see still some growth in Mexico City airport, or do you think it can be a threat for the growth in other Mexico airports coming from the Mexico City airport? 
Adolfo Castro Rivas: Thanks for your question. Mexico City airport has been having troubles many years ago. Nevertheless, it has been growing in terms of the amount passengers they can handle year-on-year. I remember a few years ago, it was 24 million; today, it's 35 million. What I believe that the people there is using the airspace or the runways in a better way, and they have improved also the capacity of the airplanes that are landing or taking off from the airport. And that is why we have seen growth in the last year. Of course, it is a restriction. 70% -- around 70% of our traffic -- of our domestic traffic goes or comes from Mexico City. And if these airports cannot grow, of course, that will have an impact. The other possibility of having more passengers coming from the Metropolitan area of Mexico City is the airport of Toluca. Toluca Airport has a lot of capacity, and I hope that this capacity will be used in the short-term future, and this will allow us to have more passengers in the entire system. Having said that, it's true that we see how many years are in front before we have a New Mexico City airport in place. There could be some kind of restriction if Toluca airport does not help in the process. Apart from these, as I said before, more airlines are designing to go point-to-point and to increasing connectivity between the cities. And this is helping, of course, the passenger traffic deals [ph]  And the system. The clear example is the case of Cancun. Cancun has 23 points of entrance from the country. If we've seen this some years ago, it was probably 4 to 5. So this has helped a lot to be able to increase passenger traffic in Cancun. 
Operator: We'll continue on to Neal Dihora with Morningstar. 
Neal Dihora: Just hoping you could comment on whether the lower jet fuel prices have helped your discussions with airlines to go to either Cancun or a lot of your other airports? 
Adolfo Castro Rivas: Yes, low prices, of course, it's a blessing for the airlines. They're having a benefit because of this. Not all the airlines are having the same kind of effect, because if we think in the domestic airlines and considering that the fuel price is in dollars, they saw some kind of depreciation of the peso during the fourth quarter last year. But nevertheless, including the depreciation, this is positive for the domestic airlines and of course positive for the international airlines. And finally, this is good news for the entire system, and also, I would say, for the  [indiscernible], the work [ph]. 
Operator: [Operator Instructions] And with nothing additional in the queue, I'd like to go ahead and turn things back over to today's CEO. Please go ahead, sir. 
Adolfo Castro Rivas: Thank you, Katherine. Thank you, everybody, for joining us today on the conference call. As always, do not hesitate to contact me if there's any further question. And thank you for being here today. Goodbye. 
Operator: Thank you. And ladies and gentlemen, once again, that does conclude today's conference. Thank you, all, again for your participation.